Operator: Thank you for joining us for this morning’s Navios Maritime Partners’ Second Quarter and First Half 2014 Earnings Conference Call. With us today from the company are Chairman and CEO, Ms. Angeliki Frangou; EVP of Business Development, Mr. George Achniotis; and Chief Financial Officer, Mr. Efstratios Desypris. As a reminder, this conference call is also being webcast. To access the webcast please go to the Investors Section of Navios Maritime Partners’ website at www.navios-mlp.com. You will see the webcast link in the middle of the page, and a copy of the presentation reference in today’s earnings conference call will also be found there. Let’s review the Safe Harbor Statement. The conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners’ management, and are subject to risks and uncertainties which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Partners’ filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligations to update the information contained in this conference call. The agenda for today’s call is as follows. First Ms. Frangou will offer opening remarks, next Mr. Desypris will give Navios Partners’ financial results; next Mr. Achniotis will provide an operational update and an industry overview, and lastly we’ll open the call to take your questions. I’d now like to turn the call over to Navios Partners’ Chairman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki N. Frangou: Thank you, Laura, and good morning to all of you joining us on today’s call. I’m pleased with our results for this quarter in addition to strengthening our balance sheet through recent capital market activities; we also are ready to acquire two container vessels, with employment that will aggregated to the cash flow of our company. For the quarter, we achieved EBITDA of $54.2 million, and a net income of $30 million. We announced a quarterly distribution of $0.4425, representing an annual distribution of $1.77 per unit. Navios Partners is committed to this distribution through 2015. This annual distribution provides a current yield of about 9.3%. We believe that MLP investors will be attracted to Navios Partners, because not only does our current yield exceeds the Alerian MLP index yield by about 60%, a further upside based on our growth and market improvement. As you can see from Slide 2, Navios Holdings owns 20% of Navios Partners, and inherit Navios Partners become a key player in the drybulk industry. Today, NMM, has a market capitalization of about $1.5 billion, and an enterprise value of about $1.9 million. Navios Partners consider the business will also be facilitated – it continues access to the capital market and provide the capability to grow its fleet, and cash flow. In fact, since NMM went public in November of 2007, it has increased its fleet more than four fold. Today, we’re controlling exactly two vessels representing about 3.3 million dead weight tons. The average charter duration of our fleet is about 3.2 years with almost 89% of our contracted revenue coming from charters longest start to the year. Slide 3 highlights our recent agreement to acquire two container vessels. The containers both 8,200 TEUs built in 2006 in South Korea was acquired for a total acquisition price of $117.7 million. The vessels are chartered out for a minimum four years at $34,266 net dead weight ton with an investment grade counterparty. The vessels acquisitions were attractive because the $117 million purchase price represents and EBITDA multiple of less than 6.2 times. In comparison to the acquisition model for some YPS, which is eight times, this price is particularly attractive. In addition, the profitability of this acquisition and charter, they will have very little residual value exposure on the completion of the initial charter. Navios Partners will acquire their vessels with only $42 million more than the estimated $76 million of aggregate EBITDA to be earned during the term of the charter. At that point, the vessels will have well over 10 years of useful life remaining, and a scrap value of about $34 million. One way to look at this transaction, $117 million invest on Navios Partner will only have $7 million of exposures at the end of the charter, equal to the difference between the purchase price and the total EBITDA plus scrap value of the vessels. In addition, Navios Partners will still have many years of productive life in the vessel at that time. Although we have the balance sheet strength to fully finance this transaction, we’ve got using a 50% debt financing to provide at least an additional $150 million of purchasing power for future acquisitions. Slide 4 dives deeper into the reasoning for acquiring these vessels. We are acquiring vessels with long-term contract providing a cash flow visibility. The transaction is accretive to all outstanding units, no matter how it is financed. Fixing a long-term contract with an investment grade count of five generate significant cash flow, which in turn ranks a distribution capacity. Importantly, the cash generated by this vessel will (indiscernible) our operating breakeven by $3695 per open day for 2015. Slide 5 shows our liquidity; at the end of the second quarter we have total cash of $184.7 million, and a total debt of $530.6 million. We’ll have a very low net debt/capitalization of 21.6%, and no significant debt maturity until 2018. Slide 6 shows the multiple ways we have been able to grow our fleet, and our distributions. Since our IPO in November of 2007, we have grown distribution by 26.5% and absolute capacity by over 400%. We have done so (indiscernible) dropped down; we’ve also exercised purchase option that we had in our chartering vessels. More recently, we have been active in a sales and purchase market, and will continue to use this market to improve our fleet as opportunities arise. At this point, I would like to turn the call over to Mr. Efstratios Desypris, Navios Partners’ CFO; who will take you through the results for the second quarter of 2014. Efstratios?
Efstratios Desypris: Thank you, Angeiki, and good morning all. I will briefly review our most recent financial results for the second quarter and six months ended June 30, 2014. The financial information is included in the press release, and is summarized in the Slide Presentation on the company’s website. As Angeiki mentioned earlier, we continue to expand our cash flow generation through accretive acquisitions. We have strong financial performance, and we are committed to a minimal annual distribution of $1.77 per common unit for 2014 and 2015. Moving to the financial results, as shown on Slide 7, our revenue for the second quarter of 2014 increased by 12.3% to $55.2 million compared to $49.4 million for the respective quarter of last year. The increase is mainly due to increase in available days by 43.8%, and was partially mitigated by the 21.7% decrease in the time charter equivalent rate achieved for the quarter of $19,824 per day compared to $25,318 per day for the same quarter of 2013. As discussed in the first quarter results, we terminated our third party credit default insurance receiving approximately $50 million in cash; as a result EBIDTA and net income for the second quarter of 2014 have been positively affected by $17.9 million accounting effect for the insurance settlement. Furthermore, second quarter 2015 EBITDA was positively affected by the $10 million hire payment received in advance on one of our vessels. EBITDA for the second quarter of 2014 increased by $9.1 million, mainly due to the increase in other income items discussed above, as well as the increase in revenues. This increase was mitigated mainly by a $3.7 million increase in management fees, due to the addition of nine vessels into our fleet compared to the same quarter of last year. Net income for the quarter was $30 million, $10.5 million higher than the same period last year. Further to the items that affected EBIDTA discussed above, net income for the second quarter of 2015 was negatively affected by a $2 million non-cash write-off of deferred financing fees associated with the pre-payment and refinancing of our credit facility, and $3.2 million non-cash write-off of favorable lease relating to Navios Melodia. Operating surplus for the first quarter of 2014 amounted to $41.9 million. Replacement and maintenance CapEX result was $55.9 million. Moving to the six month operations, time charter revenue for the six month of operations increased by $13.2 million to $112.7 million. The increase was mainly due to the increase of the available days by 42.5%, which was partially mitigated by the decrease of the time charter equivalent achieved in that period by 21.2%. EBITDA for the first half of 2014 has been positively affected by $47.6 million accounting effect of the insurance settlement discussed previously. Furthermore, first half 2013 EBITDA has been positively affected by the $10 million payment received in advance on one of our vessels. EBITDA increased by $41.1 million to $123.2 million mainly due to the increase in other income items discussed above as well as the increase in revenues. This increase was mitigated mainly by the increase in management fees of $7.2 million due to our larger fleet and the increase in G&A expenses by $0.9 million. Net income for the first half of 2014 amounted to $48.3 million compared to $35.8 million for the same period of 2013. Further to the items, I think with the EBITDA discussed above, net income for the first half of 2014 has been also negatively affected by the $22 million non-cash write-off of intangible assets relating to the Navios Pollux. Net income for the first half of 2013 has been positively affected by the $10 million payment that affected EBITDA and has been negatively affected by a $2.4 million non-cash write-off of deferred financing fees associated with the prepayment of refinancing with our credit facility and a $3.2 million non-cash write-off of favorable lease relating to Navios Melodia. Operating surplus for the six months ended June 30, 2014 was $98.8 million, which is 38.7% higher than the corresponding period in 2013. Our fleet continues its excellent operational performance. Vessel utilization for the quarter was 100%. Turning to Slide 8, I will briefly discuss some key financial data as of June 30, 2014. Cash and cash equivalents was $184.7 million. Even not with the acquisition of the two container vessels announced to date we will still have a significant cash balance to be redeployed to vessel acquisitions. Total assets will grow over $1.3 billion, reflecting the increase of our fleet. Long-term debt, including the current portion, decreased by $2.7 million, mainly reflecting the repayment over the period. Net debt-to-asset value on a charter-adjusted basis at the end of the quarter decreased to 33.1%. As shown on Slide 9, we declared distribution for the second quarter of $44.25 per common unit. Our current annual distribution of $1.77 provides for an effective yield of 9.3% based on yesterday’s closing price. The record date for the distribution is August 8 and the payment date is August 15, 2014. Total distributions for the quarter amounted to $35.5 million. Our common unit coverage for the quarter is 1.22 times. Our consistent strong financial performance health coverage ratio and accretive acquisitions enable us to secure distributions and we remain committed to a minimum annualized distribution of $1.77 per common unit for 2014 and 2015. I would like to remind you that for U.S. tax purpose a portion of our distribution is treated as a return of capital. Also, we report the cumulative annual distributions to common unitholders on Form 1099. Slide 10 shows the details of our fleet. We have a large, modern, diverse fleet with a total capacity of 3.3 million dead weight tons. Our fleet is relatively with an average age of 7.3 years will be lower than expected industry average. Our fleet consist of 32 vessels, 8 Capesizes, 14 Panamaxes, 3 Ultra-Handymax and 7 container vessels. Slide 11, demonstrates our strong relationship with key participants in our industry. Our charters have an average remaining contract duration of 3.2 years. More than 89% are contracted revenue is from charters longer than three years. Our charters are spread among a diverse group of counterparties. In Slide 12, you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Currently, we have fixed 91.5% of our available days for 2014 and 55.9% for 2015. We do not have charter rate exposure to the container sector as all vessels are fixed for an average period of approximately eight years. On the drybulk vessels, we feel that we have positioned the company well to take advantage of the improving market. The expiration dates are staggered, and the charter durations extend to 2023 the latest. As shown on Slide 15, we are an efficient low cost operators. We are benefiting from the economies of scale of sponsor, and we have fixed our operations cost at low level. Our operating expenses are almost 22% below the industry average. I’ll now pass the call to George Achniotis, our Executive Vice President of Business Development to discuss the industry section. George?
George Achniotis.: Thank you, Efstratios, and good morning all. Please turn to Slide 14, world GDP continues to be driven by developing economies, which now contribute a higher percentage of total world growth than the developed economies, representing over half of the global consumption of most commodities. The IMF recently reduced projected world growth for 2014 to 3.4%, but increased it to 4% for 2015. Developing economies are projected to grow at 4.6% and 5.2% respectively. Chinese economic growth is projected at 7.4% for 2014, and 7.1% for next year. Turning to Slide 15, the primary engines of trade growth continue to be China and India. Drybulk rate has expanded by an average of 5.5% per year in the 12 years, since China joined the WTO. Forecast for 2014 and for global drybulk trade to grow approximately 6% in ton-mile growth of about 7%. Net fleet growth is expected to be about 5% leaving to favorable supply demand dynamics for the first time in four years. Moving to Slide 16, iron ore from the major mines outside of China continues to be the lowest cost, highest quality source of this commodity. With future iron ore prices forecasted to remain in the $100 per ton range, Chinese domestic production represented by the red boxes in the lower red graph will become uneconomic. The currently planned expansions of global iron ore mines will add significantly to seaborne bulk commodity movements in 2014 with further significant growth in the following years. While the majority of these expansions are in Australia, this year, about 40% will come from the Atlantic Basin adding ton-miles. Moving to Slide 17, the continued development in urbanization of China will contribute significantly to steel consumption for the remainder 2014 and beyond. Infrastructure, housing, construction, and consumer spending growth underpin future development. Note that Chinese fixed asset investments continued to grow over 17% year-on-year through June led by railway, infrastructure, housing, constructions. The preliminary July PMI of 52, the highest since January 2013 reflects infrastructure as well as manufacturing growth after they’re losing our reserve requirements in April. This also help the industrial production to grow at 9.2% in June, the highest level since December. Through June 2014, crude steel production in China was up 5% year-on-year. Chinese iron ore imports were up 19% year-on-year. Domestic iron ore production increased 8%, but quality seems to be deteriorating as effective Fe content, projecting a 15% range compared to 63% of imported ore. Based on this data, it seems that the substitution of low quality domestic iron ore with imported ore is okay. This trend is expected to continue and will increase the tons carried in ton miles. Please turn to Slide 18. Over the past few years, there has been a significant change in coal trade. China turned from being a net exporter of coal in 2009, only five years ago, to being the world’s largest importer today. As the chart indicate, both India and China seaborne coal imports have grown at least 21% CAGR since 2009. With the increase in steel production, and with a number of planned new coal fired power generators, coal imports in both countries are focused to grow over the next several years. Just those two countries account for over 35% of all seaborne coal movements worldwide. Turn to Slide 19. China’s grain imports are expected to double from 2012 to 2022 as the country’s per capita income rises, leading to an improved guidance, and increased consumption of poultry and meat. As noted in both of these slides, it takes about 8 tons of grain to produce 1 ton of beef. Grain shipments were small relative to iron ore and coal, account for the last portion of vessel demand is measured in vessel days as grain is an inefficient cargo to lower the discharge. Moving to Slide 20, through June about 26 million deadweight tons delivered indicating the total deliveries for 2014 are likely to be in the low 50 million deadweight ton range. The non-delivery range through June was 38%. Once again, this year about 58% of the order book was scheduled to deliver in the first half of the year. Net fleet additions this year is expected to be lower than last year, and net fleet growth is expected to be lower than demand growth resulting in an improved rate environment. The order book declined dramatically this year, and for each of the next three years. Turning to slide 21, scrapping rates of older less fuel efficient vessels have continued this year. Through July 25, about 8 million deadweight tons were scrapped. The current rate environment should encourage scrapping of older vessels. 10% of the fleet is over 20 years old, providing about 73 million deadweight tons of scrapping potential. As demolition prices appear to depend on overall steel prices, and not on the supply of vessels, they are expected to remain high.
 : Conversely, stronger than expected iron ore shipments pushed the average Cape earnings to just under $12,000 per day in Q2, which although is slightly down from Q1 represented 92% year-on-year increase over the same period last year. A slowing (indiscernible) feed growth for the remainder of this year and a significant additional iron ore export capacity in both Brazil and Australia should support earnings especially in the Capesize sector. Both the Panamax and Supramax sectors should receive support over the medium to long-term by Chinese coal and grain imports as the Northern Hemisphere grain season gets underway. Increased Chinese imports of bauxite and nickel may also support the smaller sizes as they drove down inventory built up in advance of the Indonesian ore export value. And this concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, George. This completes the follow-on presentation. We’ll open the call for questions.
Operator: (Operator Instructions) Our first question comes from the line of Michael Webber of Wells Fargo Securities.
Michael Webber – Wells Fargo Securities, LLC: Hi, good morning guys. How are you?
Angeliki N. Frangou: Good morning.
Michael Webber – Wells Fargo Securities, LLC: Just a couple of quick questions on the container ship acquisition, for a second can you just kind of walk us through how these deals came about, I mean there’s a lot of demand in the market for this kind of deal, the market we’re looking for – procure the containership. So if you can walk us through, how did this came to you, and how are you able to get it at a pretty well acquisition multiple?
Angeliki N. Frangou: As you very much seen, we’re a disciplined buyer, we negotiate, we know that we are also a very favorable counterparty to transact, because this transaction is almost, a very creditworthy counterparty; 30% of the company belongs to the Government of Taiwan. So you are talking about an incredibly good counterparty. And we take the time, they like a company that is able to transact, has the ability to perform and deliver the service. So even though it took us a little bit longer time, because we like the terms that we can defer for sides, we were able to get a deal that gave us an acquisition of 6.2 multiple over five years of duration – over four years of duration. And if you really look at on a residual value risk, it’s minimal. You are generating almost $76 million of aggregate EBITDA, you have a scrap of about $34 million. So you are coming to about a $7 million residual value after the charter. We’ve announced that has, I’ll say about over ten years, well over ten years about 13 years of life. So an attractive transaction, it takes time, because you cannot complete quickly. But because you have a lot of counterparties that were removed, because of season collapse and other counterparties that have balance sheet issues, we are able to really develop this opportunity. Also another very important, I think issue that, okay we can fully fund this transaction through (indiscernible) that we have in our balance sheet, our intention is to finance it. And even financing and completing this transaction, we still have at least over $160 million of purchasing power without doing any raisings. So if you look at this transaction, it got created with usage of breakeven by about 3,700, creates the ability to increase the distribution, and we have firepower to do additional deals and positioning the company for 2015 and 2016 at a very good attractive position.
Michael Webber – Wells Fargo Securities, LLC: Got you. And before I move on (indiscernible) you mentioned in the order of $17 million in scrap value per vessel and that look like representing about $460 per lightweight ton. Is that where you guys are actually depreciating through your model?
Angeliki N. Frangou: No. No, this is – we use accounting, this is really in a violation – what we provide you is really – how we view the world, how we view our acquisition. We are buying two vessel at $117 million, I mean, actually it’s 8,200 TEU. These are very attractive assets that can be used in multiple deals. So it’s not an issue that we are associating, it’s like how we view the world and how we view risk, and how we can build cash flows even begin this four year charter, and that can create, you have minimum downside risk, ability to re-charter and go over distribution with really, and not really any credit risk on this transaction.
Michael Webber – Wells Fargo Securities, LLC: No, that make sense. And just one more to me, I’ll turn it over, but along those lines, you’ve earlier, I think it was last year you came out and publicly supported the distribution at the current level through the end of 2015, best it’s going to bolster that 2016 coverage ratio, and into the point where you guys can start thinking about growing the distribution. How do you think about that, and specifically within the context have we seen – from some other marine MLPs recently where we’re trying to aggregate growth and just from a longer term growth trajectory to the market. How do think, this deal fits into that kind of scenario, and how you think about that going forward especially around – supporting at 2015 distribution at the current level or talking to a growth rate for 2015 and 2016?
Angeliki N. Frangou: Yeah, it’s Angeliki. We are yielded a – of our 9% and we are at a 60% discount Alerian yield. But reality, will give you a roadmap of growth and our creative deals. We have over $150 million of purchasing power that can really further reduce our breakeven or give us the ability to increase our distribution. It is something that we will view with – but the one thing we will say is that, we have the ability without raising to really grow with a – typically a creative deal.
Michael Webber – Wells Fargo Securities, LLC: Sure. Yeah, I think at this point it’s about (indiscernible). Okay, I think that’s all I’ve got, I appreciate the time guys.
Efstratios Desypris: Thank you.
Operator: Our next question comes from the line of Christian Wetherbee of Citi.
Unidentified Analyst: Good morning. This is (indiscernible) for Chris. If I could just follow-up on – on the distribution outlook, can you guys have a checklist per say, I mean if you think about – in order to grow to the distribution you need to see your recovery and spot rates or the period market and the drybulk market, I mean is it the drybulk market that could be the swing factor for potentially growing the distribution or is just the…
Angeliki N. Frangou: I’d say it’s not only the drybulk, because as you see our acquisitions now and then, containers really bring our breakeven, but it’s also really of creating the sufficient length and a cushion on the break even that will give us a comfort. And the good thing is that, we done in the last 18 months, we have done quite a substantive efforts to really bring down, to really create that ability for company (indiscernible) to market conditions.
Unidentified Analyst: Sure, that really makes sense. I guess with the 8 to 10 year old tonnage, and 6,000 to 8,000 TEU container market, is that still the most accretive place, the most opportunistic part of the container market, or I guess out of all the shipping that you think you’re going to continue to look at going forward?
Angeliki N. Frangou: I think we have selected the container, the container segment as an area where we grow, I mean the previous deals with this was a little bit smaller TEU, we are now moving to the larger TEU, and importantly it’s cash flow durations and creditworthiness of the counterparty and actually quality of the tonnage, everything is South Korean from top six guys.
Unidentified Analyst: Okay. Great. I’ll turn it over.
Angeliki N. Frangou: Thanks.
Operator: Your next question comes from the line of Ben Nolan of Stifel.
Ben J. Nolan – Stifel, Nicolaus & Co., Inc.: Yeah, thanks. And again congratulations on this deal, it seems like an especially good deal, especially given the strength of counterparties you’re putting together there, I guess my question relates, my first question relates to that, when thinking about how you guys are accounting for this acquisition, how much of the total purchase price is allocated towards to value of the contract as opposed to simply the uncharted value of the asset?
Angeliki N. Frangou: I mean, we actually work with that market, I mean the reality that a credit worth account really looks at the ability of Navios Partners’ (indiscernible) they need to be dedicated, so the real barrack between really in the container market is today, if you are able to transact, if you have the balance sheet to transact, you are able to really acquire vessels at almost market with contracts, with credit worth account at bulk. So this is a real opportunity where we saw and that’s why in the last – from the fourth quarter last year, we enter into the container market, we saw that opportunity.
Ben J. Nolan – Stifel, Nicolaus & Co., Inc.: Okay, very good. Along those lines, given that this is a little bit older asset relative to something that’s brand new, how do you – how do you think about allocating a portion of that cash flow towards replacement CapEx, or I guess another way to ask it, are you allocating a greater percentage of the cash flow towards either debt repayment or eventual replacement CapEx as a function of the vessels being a little bit older?
Angeliki Frangou: I’ll let Efstratios go through that, but one of the things we have done from day one is, we have a replacement CapEx, and this is something we do day one. We provide that, and this has been in excess with – we can actually say that some of our dry bulk vessels that we acquired brand new, remember last year we actually been able to do it at – more attractive than the replacement of our older vessels we have in our book. So this is an ongoing process, and we see the ability through the cycle to actually acquire the vessels. You have the replacement CapEx through the cycle, and also accounting the cycle correctly, you are able really to acquire the vessels at more attractive prices.
Efstratios Desypris: Ben, we have the way that we are calculating the replacement CapEx, this is standard we have done it for all the vessels that we have in our fleet, so any vessel that we are adding, there is always a reference Slide or a five year old vessel. So irrespective of the age of the vessel that we’re buying, still at the end of the day what we want is to replace this with another 5 year old vessel. And if you see all the filings that we have done up to now, you see that our operating surplus, our distributable cash flow always excludes this replacement CapEx. So this is a portion that we keep out of our distribution.
Ben J. Nolan – Stifel, Nicolaus & Co., Inc.: Okay, so this is no different than – your thinking of this is no different way than any of the other acquisitions that you’ve done in terms of the replacement CapEx?
Angeliki N. Frangou: Yes.
Ben J. Nolan – Stifel, Nicolaus & Co., Inc.: Okay. And then my last one, maybe either for you Angeliki or George, when looking at the drybulk market in general, we had seen a lot of the big mining companies come with record levels of production of iron ore in June even, and yet we’re really not seeing any material uplift and Capesize rates. And furthermore we’ve also seen iron ore prices that have been below the theoretical level of where you’d see a lot of domestic mines, and China not being economic, is it simply a function of supply or demand needing to catch up to supply or is there something else going on here that’s keeping the Capesize market soft, and are there supply and demand games that are being played or I don’t know, is there something that you are seeing in the market that sort of explains the difference between what the mining companies are saying, and what’s actually being translated into with respect to Capesize rate.
Angeliki N. Frangou: Actually, overall we saw that there was – I don’t know but mostly from Australia, and that is – in a ton-mile demand is less than what you get from Brazil, what is estimated in second half is really an increase from Brazilian iron ore that will create more ton-mile demand. As whole, number of fixtures, what we already seeing is that, volumes are starting to be healthy, which is the first indication before movement on actually levels of the chartering. So I think this was mostly, I don’t know from Australia versus Brazil, we have the addition that you will see that, yes if iron ore remains at below certain level, this is not an immediate effect, it takes some period, but then the close of mines will happen, and that will go into the theme Chinese government where they do not want to waste asset and money on non-productive mines and situation. So I think overall if the price remains, we’ll provide closure of mines, and what we see from everything available is that, second half will be more Brazilian iron ore around the first one.
Ben J. Nolan – Stifel, Nicolaus & Co., Inc.: Okay great. Well that is very helpful, and thank you for that. And again, nice acquisition there, so that’s it from my questions, thank you guys.
Angeliki N. Frangou: Thank you.
Operator: Our next question comes in from the line of Nish Mani of JPMorgan.
Nish Mani – JPMorgan Securities LLC: Hey, good morning guys. Want to follow-up on the axis real quickly, and get a sense of where you think you’re in terms of drybulk acquisition opportunities because you’ve always been active in the container space recently, but there has been a relative dearth in drybulk acquisitions by you guys, and I want to get a sense to see this implied that you thought drybulk asset values could perhaps fall further, and you would be able to get better deals because we saw a slight run up in asset values in the first half of the year, but we have seen some slow down and some pullback actually since. And then I want to see how you guys are thinking about that in the medium term?
Angeliki N. Frangou: Yeah, Ben don’t forget we have a large drybulk position, we are – six vessel last year, so it really – it really gave us an ability to grow fleet that. So you know – the focus on the container cost, it gives us a better advantage right now on pricing because of the reduction of counterparties around where we have been able to really attract better deals and you can also create a cash flow. So there – we already have invested in the drybulk is a large position overall. We have 25 drybulk vessels and we will beat transactions if you remember, we have got delivery last year at the beginning of the 2014 at a very good price. So the container deals make more sense because of valiant cash flows.
Nish Mani – JPMorgan Securities LLC: Okay. That makes sense. I mean the implication there being that in the drybulk side, you aren’t seeing many available opportunities that the charter is attached, now you could actually have that cash flow of the above and be the cash flow available. Is that correct?
Angeliki N. Frangou: Yes.
Nish Mani – JPMorgan Securities LLC: Okay. And then turning to the drybulk rate environment more broadly, I mean I think that rates came off probably stronger this summer or weaker the summer that were themselves farther than most probably expected, and there is kind of a flashback other both seasonal and fundamental kind of periods of weakness. You guys have 10 vessels coming open between now and year end. And some of these are fixed and kind of the mid-teens to be even closer to $20,000 a day, are you prepared to take a significant share count on re-chartering those vessels perhaps in the low double-digits kind of $10,000 to $12,000 range?
Angeliki N. Frangou: I think that if you look at on an overall as a portfolio is not very far away from where is the current one here. So it is not something that if you see – okay if you judge it from the spot market and look quite (indiscernible) it can really including all quarters not only the seasonal low. The average as we are coming – the average rate on the vessels chartering, they are not very far from where one get rate. So we don’t see a significant risk there.
Nish Mani – JPMorgan Securities LLC: Okay. And in terms of charter durations for those vessels, the ones that are coming up between now and the end of year. Are you guys thinking about still the kind of that 12-month charter as being the sweet spot, but you don’t miss no essential upside in the cycle?
Angeliki N. Frangou: Yes, what we mentioned is, one of our longer-term goals is really to build our duration. So, we will cease out the market recovery, long-term – we’re an MLP, we get about distributions, we get about visibility. So our longer-term target is to create a longer durations on the appropriate time. What we see is – with the vessels we have longer charters and they’re built to really get this creative container, it give us the ability to do it in a relaxed way, in a way that we’ve been more beneficial for our investors.
Unidentified Analyst: Okay, understood. Thank you so much for your time guys.
Angeliki N. Frangou: Thank you.
Operator: Your next question comes from the line of (indiscernible) of Morgan Stanley.
Unidentified Analyst: Good morning and thank you. I want to ask you about the – you have three older vessels that they should come of charter, and it seems that these vessels are not going to be able to contribute the same way as in the past. Are there any source of disposing this assets, and I’m talking about the vessel that they are around 17 years, 18 years old?
Angeliki N. Frangou: We already have both six drybulk vessels in this downturn. So, we have the ability to do it. We will do it when it’s more appropriate, don’t forget that vessels are very well kept and will create cash flow. So this is a matter of the appropriate moment, we are not – we are never going to pre-announce a sail or a disposal. But we have already taken position on the drybulk, we already have booked six vessels from re-sale, new buildings to gain vessels five years of.
Unidentified Analyst: Thank you. And one last interesting question, if you can explain a little bit further as a weakness and what is going to be the drive that you mentioned earlier, the iron ore out of Brazil, but do you see that, this is the only driver and the only reason that the lack of Brazilian iron ore supply that keeps the market weak or there is something else going on in the coal market. And how do you expect the coal trade to develop the next year?
Angeliki N. Frangou: The reason we are talking about the Brazilian, because we saw the first half being more Australia, which has less ton-miles, so that together with an increased volume out of Brazil that will increase the ton-mile demand in a multiplied effect. Of course you still have, there will be, the coal demand is something that remains there – there is going to be the Indonesian bank recovery, and most importantly, I think as we have seen advanced economics being even with a more recent IMF releases, then we give them what was estimated. So if that’s going to be the recent revisions downwards, it’s happened mostly on the advanced economies. On the supply of the vessels, vessel demand, I mean we have seen that actually, we have non-deliveries going well, 30% non-deliveries, scrapping is inline, so net growth is not really a real problem, and demand will be growing at above net free growth. So with the volatility in between, the long-term theme is there, but of course you always have the relative volatility.
Unidentified Analyst: Thank you very much for your time.
Efstratios Desypris: Thank you.
Operator: Our final question comes from the line of Nick Norstrom of Jefferies.
Nick Norstrom – Jefferies LLC: Hi, good morning, guys.
Efstratios Desypris: Good morning.
Nick Norstrom – Jefferies LLC: I was wondering, getting back to the drybulk market, if we should get a nice seasonal rally into year-end. If you guys would ever consider monetizing some of your drybulk assets, and maybe accelerating the shift to more containership assets given that there is more duration in that market is that something that you guys have thought much about at all?
Angeliki N. Frangou: We are here to really create – to create a visible increase on the distribution capability of the company, so this is something that we view, we like durations, and we like assets that can provide that. Of course we’d like to have a diverse portfolio. So we are not kind of reviewing every possible way, meaning you may – this is a part of our thought and our business planning, I mean we always do whatever is best on increasing the visibility of cash flows, and putting this cash into use.
Nick Norstrom – Jefferies LLC: Okay. That’s great. And kind of along the lines of that, in the containership market, are you strictly focused on secondhand acquisitions, and do you feel that, that pipeline is pretty full or would you at some point ever consider the opportunity for maybe NM to build some new building tonnage and create some drop down visibility for NMM?
Angeliki N. Frangou: We’re going to talk about NM, but one thing we’re always scared about, if you do first part of the acquisitions, you will always try to get a – to get vessels that are in the quarter, otherwise it creates a negative cash flow. Don’t forget that, Navios Holdings has a large, fleet and it has vessels at that timing, and we cannot talk about NM’s plan, but you have – I mean the sponsor has a strong fleet.
Nick Norstrom – Jefferies LLC: Sure.
Angeliki N. Frangou: And a visible, I mean time that it can go in, and we view the ability of vessels at that timing in 2014, 2015 and 2016.
Nick Norstrom – Jefferies LLC: Okay. That’s all I have. Thank you very much for the time guys. Thank you.
Angeliki N. Frangou: Thank you.
Operator: At this time there are no further questions. I will now turn the call over to Angeliki Frangou for any additional or closing remarks.
Angeliki N. Frangou: Thank you for attending our second quarter results.